Operator: Ladies and gentlemen, welcome to the Clariant First Quarter Figures 2022 Conference Call and Live Webcast. I am Alice, the Chorus Call operator. I would like to remind you that all participants are in a listen-only mode and the conference is being recorded. This presentation will be followed by Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Andreas Schwarzwaelder, Head of Investor Relations. Please go ahead, sir.
Andreas Schwarzwaelder: Thank you, Alice. And ladies and gentlemen, good afternoon. This is Andreas speaking, and it's my pleasure to welcome you to Clariant's first quarter 2022 figures conference call and live webcast. Please note that all information provided today reference to the reported Q1 2022 figures and the restated Q1 2021.  Joining me today are Conrad Keijzer, our CEO; and Stephan Lynen, CFO of Clariant. Conrad will start the review followed by Stephan, who will guide you through the detailed results and providing a short term outlook for the group. Conrad will then conclude with the comments on Clariant's full year 2022 outlook. There will be a Q&A session following our presentation. At this time, as Alice said, all participants are in a listen-only mode. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. Listeners and readers are therefore encouraged to refer to the disclaimer on Slide 2 of today's presentation. As a reminder, this conference call is being recorded and a replay of the call will be made available on the Clariant website.  As a final housekeeping comment, please note that all figures discussed today refer to continuing operations unless specifically noted otherwise. And let me now hand over to Conrad to begin our presentation.
Conrad Keijzer: Thank you, Andreas. Good afternoon, everyone. Welcome to our first quarter 2022 results conference call. As you can see on slide number 4, Clariant delivered strong sales growth in the first quarter of 2022, with an increase of 30% in local currency versus the first quarter of 2021. This increase of three elements. First, we are pleased with the further improvements in our selling prices with 16% year-on-year pricing achieved in the first quarter of 2022. This follows sequentially higher year-on-year pricing throughout 2021. The improvement in pricing reflects our continuous ability to effectively offset higher raw materials, logistics and energy costs. Secondly, we grew sales 10% organically in volumes, reflecting our ability of our markets by delivering unique value to our customers. And finally, 4% sales growth was contributed by the consolidation of our renewable Care Chemicals joint venture with India Glycols, and our Natural Ingredients acquisition in Brazil, the company called Beraca. Clariant saw continued strong demand across all of our businesses, except catalysts and across all geographical regions. The group benefited from strong demand in both the consumer and industrial segments and a return to growth in our oil services business. Our Care Chemicals sales increased strongly by 44% in local currency in the first quarter with double digit expansion in both industrial applications and consumer care, in particular, Aviation, Coatings, Crop Solutions and Personal Care. Natural Resources sales increased by a strong 31% in local currency with growth attributable to all three business units with particularly strong demand in Additives and a recovery in oil services.  Our Catalysis sales decreased by 1% in local currency. Higher specialty catalysts sales could not compensate for the weakness in petrochemicals and syngas. As you can see on Slide 5, reported EBITDA in the first quarter increased by 27% to CHF220 million. The corresponding EBITDA margin rose by 10 basis points to 17.4%, slightly exceeding the 17.3% in the first quarter of 2021. This increase was achieved due to operating leverage from higher sales, cost savings and pricing measures. We are pleased with the progress of our pricing actions. Our overall 16% price increase diminished the impact of the accelerated inflationary environment, which resulted in an energy cost increase of approximately 38%, mainly in Europe, approximately 37% higher raw material costs and an approximate 17% logistic cost increase. We are planning further price increases and remain committed to fully offset the lagging effect as well as the continued increase in raw material and energy costs. On Slide 6, we highlight the progress we made in the first quarter against our strategic priorities. We made significant progress with the completion of our key growth projects. Our bioethanol plant in Podari, Romania, as well as our new catalyst plants for CATOFIN catalyst in Jiaxing, China ramped up production in the first quarter of 2022 according to plan. All required permits for the bioethanol plant were received in the second quarter of 2022. We expect sales of second-generation bioethanol to start ramping up in the second half of 2022. The CATOFIN plant has successfully concluded its chemical commissioning for the local production of the CATOFIN propane dehydrogenation catalysts. The new capacity is expected to contribute first sales in the second quarter. Both projects will contribute to our business area Catalysis in the second half of 2022. Clariant has concluded its announced divestment program, and we have transformed the group into a truly specialty chemical company. The sale of our Pigments business was completed on January 3, 2022, and resulted in an initial cash inflow of CHF615 million before tax and transaction costs and a provisional pretax disposal gain of CHF168 million. On April 14, we announced the completion of the divestment of our 50% stake in the Scientific Design joint venture. This transaction resulted in a net cash inflow of approximately $139 million, which were booked in the second quarter of 2022. All performance improvement programs, including the rightsizing program, remain well on track.  The successful execution of Clariant's efficiency programs generated additional cost savings of CHF4 million in the first quarter. We are confident in our ability to deliver the total savings of CHF110 million by 2025. Let me conclude with some comments about our upcoming AGM next week and our confirmed 2022 guidance on slide number 7. We I would like to invite all shareholders to register their shares and vote at the virtual AGM on June 24 through the independent proxy. Clariant's board of directors proposes the reelection of Gunter von Au as Chairman of the board and also the election of three new board members nominated by SABIC to replace three board members previously nominated by SABIC, who will not stand for reelection. In case of a successful election of the new members and the reelection of the current members, the board diversity would increase to 36% female board members, a step up from 27% in the previous board composition. The board of directors has also decided based on consultation with the executive committee to propose a regular distribution of CHF0.40 per share. The distribution is proposed to be made through capital reduction by way of par value reduction. After more than two decades with our trusted partner, PwC, the Board of Directors proposed to change the statutory auditor for 2022 to allow for a fresh start following the conclusion of the investigation into accounting issues. KPMG will be proposed for this role moving forward. We are pleased to confirm our outlook for the full year 2022, despite a challenging macroeconomic environment. We expect to achieve strong local currency sales growth, driven by a strong first half of 2022. We further aim to improve our year-on-year EBITDA margin despite the continued inflationary and volatile environment. With that, I would now like to hand over to our CFO, Stephan Lynen, who will provide a further overview of the financial performance in the first quarter.
Stephan Lynen: Thank you, Conrad. Ladies and gentlemen, good afternoon, and welcome to today's call from my side. On Slide 8, we highlight the fact that Clariant delivered notably higher sales in the first quarter of '22, with sales growth of 30% in local currency and an EBITDA margin of 17.4%, as mentioned by Conrad. Operating leverage from strong volume growth, accelerating pricing measures and contribution from efficiency programs partially offset ongoing cost inflation for raw materials, energy and freight as well as higher exceptional costs. All regions contributed to this positive development as explained on Slide 9. In Europe, we have seen a long -- a strong local currency sales growth of 27%, which was supported by higher care chemical sales with strong demand in consumer care and industrial applications and by notable expansion in all natural resources business units. Only Catalysis reported weaker sales in Europe. Germany, which grew a notable 38%, was boosted by Additives in particular. In Asia Pacific, the strong 31% sales growth was driven by continued high demand with positive contributions from Care Chemicals, including the CISC or both on an India consolidation as well as natural resources, OMS and Additives in particular. Sales in China rose by 34% with a continued robust increase in Catalysis, in particular, CATOFIN and in Additives. Sales growth in North America accelerated across all business areas, especially Catalysis and increased by 37%. The 31% higher sales in Latin America resulted from expansion across all business areas, in particular, in Care Chemicals and in all business units and Natural Resources. In the Middle East and Africa, the sales growth was strong in Care Chemicals and Natural Resources. Let me now break down the strong first quarter performance by business area, starting with Care Chemicals on Slide 10. Our Care Chemicals sales increased by 44% in local currency, supported by double digit organic sales expansion in Consumer Care and Industrial Applications, which resulted from continued end market strength. In Consumer Care, sales increased in a double-digit range in all three businesses, Personal Care, Home Care, with expansion in Crop Solutions again in the lead. In industrial applications, all key business lines contributed to this growth, especially Aviation & Coatings. All regions in the Care Chemicals business area reflected significant growth. The sales contribution from our joint venture with India Glycols CISC and the Beraca acquisition boosted growth by approximately CHF42 million in the first quarter. The integration of these businesses is progressing well and is almost complete. Our customers are benefiting from our new bio-based products and natural product range with more than 60 new products launched carrying our Vita brand. The Care Chemicals absolute EBITDA increased by a significant 63% and the margin increased by 320 basis points to 23% from 19.8% in the first quarter of '22. This development was attributable to high operating leverage from growth. Our active price management counterbalanced raw material cost headwinds, supply chain constraints as well as energy and logistics cost increases. Continuing with Catalysis on Slide 11, as expected, Catalysis sales were a slight 1% lower local currency in the first quarter versus a strong comparable base. The strong sales expansion in specialty catalysts largely counterbalance weaker syngas and petrochemical sales. The demand for our CATOFIN solution in the polypropylene value chain was strong, and we expect that the new production capacity from our plant in China to further improve our ability to serve the growing demand in the region. The Catalysis EBITDA margin declined to 7.6% from 19.7%. One of the major factors influencing this development included a temporary margin squeeze due to a vast inflationary pressure from raw materials, energy and logistics costs. This was even more amplified by the rapidity of cost inflation, in particular for base metals within a short time, which could not immediately be passed on by pricing, given the long project lead times for catalysts. We have already addressed this through diligent pricing and by adjusting the relevant pricing model and expect these measures to have a positive impact in the second half of '22. A second important factor was a less favorable product mix with a low share of accretive petrochemical and Syngas catalyst sales despite the record high order book for accretive CATOFIN catalysts in particular. The strong order book signifies a marked recovery in the second half of '22. The third factor included continued logistics challenges, which resulted in delayed deliveries. Lastly, the fourth factor was project cost related to the new CATOFIN production site in China and the sunliquid production plant in Romania. As Conrad briefly explained, both plants ramped up production in the first quarter of '22, according to plan and will show commercial impact in particular in the second half of '22.  Please take into consideration that due to the project nature of the Catalysis business, we sometimes see normal significant profitability fluctuations over the quarters of a calendar year. It is, therefore, important to note that the fundamentals of this business remain positive based on the present demand pattern, the particularity, high order backlog, portfolio strength and proven innovation capability. I would now like to discuss the business area Natural Resources on Slide 12. Natural Resources sales increased by notable 31% in local currency and the first quarter -- in the first quarter due to the growth in all regions and in all three business units with particularly strong additive demand. Oil & Mining Services sales grew markedly in the first quarter in a high-20s percentage range attributable to a demand recovery in oil services or by from a weaker comparison basis and a strong performance in refinery and mining. Sales in Functional Minerals expanded in a low-teen range, supported by expansion in almost all business lines, especially in purification and target advice protection. The Foundry business increased sales at a mid-single digit rate, slightly exceeding the absolute levels achieved in the first quarter of 2019 before the COVID-19 pandemic. The sales expansion in Additives outperformed among all three natural resources business units due to a very strong underlying demand in all regions and across all main end markets such as electrical and electronics as well as the automotive, particularly e-mobility and construction sectors. As a result, the share of additive sales in Natural Resources has continuously increased and the EBITDA margin continuously -- significantly outgrow the average of the natural business -- Natural Resources business area. In the first quarter of 2021, the absolute -- in the first quarter of 2022, the absolute EBITDA margin increased by substantial 48% and the margin rose to 20% from 17%, reflecting a 300 basis point improvement. The strong leverage from growth and pricing measures successfully diminished the negative impact of higher raw material costs curtailed material availability and logistics challenges. Ladies and gentlemen, let me conclude my review with our short term outlook for the second quarter on Slide 14. In the second quarter of '22 and in an unprecedented inflationary environment, we expect Clariant's continuing operations to generate strong local currency sales growth in a year-on-year comparison with a moderate sequential decline due to the positive seasonality effect in the first quarter.  Our expectation for strong year-on-year sales growth is underpinned by expansion in Care Chemicals and Natural Resources as well as moderate sequential recovery in Catalysis. We also expect to improve the group EBITDA margin level on a year-on-year basis via volume growth, continued pricing actions to diminish inflation effects and cost discipline. From a sequential perspective, we target for the second quarter EBITDA margin levels to be broadly in line with the profitability generated in the first quarter of '22. With this, I close my remarks and hand back to you, Conrad.
Conrad Keijzer: Thank you, Stephan. These first quarter results show that the fiscal year 2022 begun well for Clariant. We are pleased to see continued strong customer demand, which we expect to result in attractive growth in the first half of the year. . The second half of the year is expected to reflect continued growth based on higher prices, but weaker volumes, in part due to the higher comparison base and the risks to global economic growth. For the full year 2022, we expect to generate strong local currency sales growth on a year-on-year comparison, driven by strong first half of 2022. We expect to improve our year-on-year EBITDA margin levels through operating leverage from growth, pricing actions to mitigate raw material inflation and continued cost savings and cost discipline. We expect the high inflationary environment with regard to raw material, energy and logistic costs as well as supply chain challenges to persist into the second half of 2022. The current high level of uncertainty as a result of the geopolitical conflicts, suspension of business in Russia and the resurgence of COVID-19 in China is expected to continue to impact global economic growth and consumer demand in the second half of the year. Additional internal factors looking into 2022, we are planning further pricing activities to close the gap from 2021 and to address the continuing high inflationary environment. Our performance programs remain on track, and we are committed to continue to successfully deliver while maintaining our stringent cost discipline. We expect these efforts to deliver meaningful savings in 2022 and beyond. As I previously indicated, we have transformed the group into a truly specialty chemical company and, therefore, expect to continue to benefit from our innovation-driven specialty portfolio and the contributions and synergies generated by our bolt-on acquisitions. The commissioning of our key growth investments took place in the first quarter of 2022 as planned. Sales of sunliquid second-generation bioethanol are expected to ramp up in the second half of 2022, and the new capacity at the CATOFIN plant in China is expected to contribute first sales in the second quarter. In our view, Clariant is well positioned to outpace the market and to continue to grow profitability. Our team remains committed to taking the next steps to meet our 2025 targets, which we introduced last November. Meanwhile, we continue to prioritize delivering on our full year 2022 operational performance. With that, I'll turn the call back over to you, Andreas.
Andreas Schwarzwaelder: Thank you, Conrad, and thank you, Stephan. [Operator Instructions] We will now open the line for questions. Alice, please go ahead. 
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Christian Faitz with Kepler Cheuvreux. Please go ahead.
Christian Faitz : Yes. Thank you very much. Good afternoon, everybody Two questions, if I may. First, in Consumer Care, Personal Care, there's a lot of anecdotal evidence flying around in the press of consumers down trading, for example, buying more private label products, et cetera. If that was a trend that persists over the next several quarters, would that in some way also affect your activities? Because I would believe you sell solutions to your customers that often shopify [ph] higher pricing points in the supermarket sales, which, at this point in time, do not seem to be accepted.  And then the second question is on the Catalysis business. So when do you see margins turning around or recovering? Is that still this year? Or is that a next year story? Thank you very much.
Conrad Keijzer : Yeah. Thank you, Christian, for this question as it relates to Consumer Care. Maybe to clarify, if actually consumers start to buy these white label products instead of, let's say, the brands, the more expensive brands. For us, that would not have a negative impact if it were to happen. Because if you look at the margins of products we actually supply to white label versus the premium brands, there is not a noticeable difference on those. As far as your second question with regards to the Catalysis margins. Yeah, we do expect in the second half better margins for Catalyst. So if you look at the underlying reasons for the steep deterioration of margins, there is, first of all, product mix where in the first quarter, we had actually weaker petrochemical sales, weaker syngas sales and this happens to be -- these happen to be the higher-margin segments. Then secondly, we had an effect, which is, frankly, affecting most of our Catalysts business, which is the unexpected increase in raw materials in the first quarter for our catalyst business. If you look last year what happened on raw material increases, you do see actually that a lot of the olefin-based raw materials went up significantly. But if you look at base metals and precious metals, the increases were much less pronounced. To give you an indication, Christian, the pricing -- the raw material pricing for Catalyst last year was in the high single digits. However, if you look at the first quarter, we actually saw a rapid increase of base metals. As a reminder, items like, for example, nickel, at some point in time during the first quarter, were up more than 100%. They came back a little after that. But let's say, for the first quarter, we saw nickel pricing up 60%. If you look, for example, with aluminum prices, we saw prices up in the first quarter at some point 25% year-on-year. Zinc prices were up. So what you saw actually is that some of these metals, like, for example, nickel were imported from Russia. It's not to say that we have tight markets in terms of availability. We were able to get the raw materials, but we did see much higher pricing. And if you then look at the nature of our Catalyst business, where we are dealing with lead times of six to nine months, and we basically accept these orders at fixed pricing, as you can imagine, that actually creates a problem, not just in the first quarter, but you'll see that continued in the second quarter. But then towards the end of the year, Q3-Q4, we should see an improvement, primarily also because we've changed the practice of accepting a fixed pricing on such an order. And now actually, we no longer do that for orders with lead times of six to nine months.  So the answer is, yeah, we will see higher margins on Catalyst in the second half, but we still have some challenging months ahead of us.
Christian Faitz : That's good to hear and good to know. Thank you for that. And one for Stephan. Stephan, I believe this is your last call with us as CFO with Clariant, so all the best for your future. Thank you very much.
Stephan Lynen : Thank you, Christian. It is true, and same to you. 
Operator: The next question comes from the line of Andrew Stott with UBS. Please go ahead.
Andrew Stott : Yeah. Good afternoon. Thank you for the opportunity. Good afternoon, gentlemen. So can I go back to the last question on margins in Catalysis? There's so many moving parts now when I think about FY '23, you've got, as you said, the upside from China ramping up. You've got the shell contract coming in. You've got the metal price changes in the contract structures. I sort of sit here really not having a clue on what normalized margins now look like. Is there even a range you could give even if it's one I can drive bus through that can help here that anything would be welcome? And then can I be very specific around the Shell contract. Can you explain how that works? Could you explain what the revenue annually will be? And can you give us an idea roughly of the margin relative to a normal Catalysis margin? Thank you.
Conrad Keijzer : Yeah. Andrew, thanks for the question. I think, first of all, I think you summarized some of the current challenges very well. So all of these I can basically agree with.  As far as margins for Catalysts for full year, we're not giving a margin breakdown at a business area level and that's likewise for new biofuel business. I can make maybe a few more comments. So yeah, first of all, as far as margins on Catalysts, we mentioned product mix. We mentioned the raw material pass on. I think, finally, a comment to make is on project costs related to the start-up of the CATOFIN plant as well as the sunliquid production plant. We should improve in the second half. So that is basically a comment I still wanted to make regarding Catalysts margins. As far as shell, we are very pleased that we have been able to announce the offtake for the second-generation bioethanol with shell. Yeah, I'd like to also mention here that this is actually a long-term agreement. So we have been able to secure the offtake here for the second-generation bioethanol.  And as far as margins and pricing, I can only say that this business is more attractive than actually we even anticipated it to be. If you look at the first generation bioethanol prices, they are now at new record prices, which is basically more than $1,000 per ton. And typically, the second generation offers a premium of roughly 2 times to the first-generation technology.  So this is a trend which we do expect to continue. If anything, with the current food shortage in the world, we do see an increased enthusiasm and an increased interest clients for the second-generation bioethanol technology, which, as you know, is not competing with the food chain, with food production. It is actually using the waste products from agricultural production as feedstock.
Andrew Stott : So just to follow up, Conrad, on that. The shell contract itself on the 50,000 tons, that doesn't preclude you from selling licenses on the technology, I assume. Is that the case?
Conrad Keijzer : No, absolutely. Maybe to explain that, Andrew. So the whole idea of the plant was that we wanted to demonstrate the technology. So it was never the extension for Clariant to build a whole series of ethanol plants and to sell bioethanol. Now for us, the real opportunity sits with the licensees. And as you can imagine also here, we expect in the second half more traction as we are able to demonstrate actually the viability of this technology and commercial production.
Andrew Stott : Conrad, thank you and also best wishes to Stephan.
Stephan Lynen : Thank you, Andrew. 
Operator: The next question comes from the line of Georgina Fraser with GS. Please go ahead.
Georgina Fraser : Hi, Conrad. Hi, Stephan. Thanks for taking my question. My first one, if I can actually just maybe revisit Andrew's question on Catalysis margins. Is there a good kind of reference year that you could point to where the mix and kind of raw material, logistics kind of costs might reflect what we're going to see in the second half of 2022 or 2023? And then my second question was around the Consumer Care margins. So 23% really quite strong. And just trying to think about where we go from here? Do you have the ability to maintain pricing if we go into a deflationary environment and, therefore, there is actually even upside to the margins that we have today? Or what would be the circumstances where you would see margins normalizing from the level we're at currently? Thank you.
Conrad Keijzer : Yeah, sure. Yeah. So as far as catalysts and your question as to the reference year. Yeah, so basically, if you look historically, the Catalyst business has performed at a much higher EBITDA margin level than what you see this year, in fact, than what you see last year. So we basically saw numbers above 20% EBITDA margin, as you can recall.  So what we can say is that we are dealing with unprecedented raw material increases when related to the metal price increases that we're seeing right now. We can also say that in terms of a mix, we are dealing with the situation that is temporary. So once again, back to CATOFIN, this technology, the propane to propylene technology, is basically benefiting from very high demand. If you look what our license partner has been able to sign in terms of new licensees in China that continues to be very impressive, as China continues to be a net importer of polypropylene and really wants to invest more and more in local capacity. So if and when our new CATOFIN plant basically is fully up and running, we will see definitely also a pickup and a more favorable mix. So with these comments, Georgina, what you will see is that we're getting back towards the historic margins. The only challenge is that we need a few quarters to work ourselves through the current challenges that we are facing. On Consumer Care, we are very pleased with the margin pickup. I think it's important to mention, this is not just a sort of temporary phenomenon, but this is a more structural phenomenon. If you look at our mix consumer versus industrial in our business, you see consistently that our exposure towards consumer applications increasing. This is also the case with the acquisition of India Glycols with the acquisition of the full joint venture with Beraca and actually, yeah, you see some very favorable trends. In addition, we are right now helped by very strong demand for crop protection, which is also helping. And we report that also under the consumer part of our Surfactant business.
Georgina Fraser : Great. Thank you very much. 
Operator: The next question comes from the line of Jaideep Pandya with On Field Research. Please go ahead.
Jaideep Pandya : Thanks a lot. Sorry about this, but I have three questions actually. First question is a two-part question. Firstly, on the two plants that are starting up, CATOFIN and Additives plant. So Conrad, if I look at CATOFIN, since 2017, there are about 34 plants we're using CATOFIN technology. In the next four years, your market share in China, at least from my numbers, is 60% to 70%. So -- and majority is like a 50% market of China in the CATOFIN business.  So could you give us some color of what is the sales potential from this plant on a three-year view for CATOFIN? And subsequently, also from an Additives point of view, is the Additive plant in China as big as in Germany? So could you give some sales potential or size potential for the Additive plants? That's my first question. Sorry about that. And the second question really is around your Oil & Mining business. You've obviously gone through boom and bust here with regards to order mining. Can you just tell us where are we in the cycle right now? And again, what is the recovery potential in Oil & Mining? Could we see continued recovery here? Or are we now sort of at a level which used to be in sort of 2018 and therefore, from here on, the recovery is going to be more modest? Thanks a lot.
Conrad Keijzer : Yeah. Thank you, Jaideep. So first, regarding your question on the two new plants in China, the CATOFIN plant as well as the Additive plant, the new flame retardant plant.  So we're not breaking down revenue by individual plants. Our competitors probably would very much like us to do that, but we're not doing that, unfortunately. I can say that with your comments about our market share on CATOFIN that you're actually not too far off. Yes, we are the preferred solution for the propane to propylene route, and that's simply because this provides the best economics to our clients. And yes, this is a trend or a fundamental strength that is still fully in place as China wants to limit their dependency on imports as they are further building local polypropylene plants, this is actually a very favorable trend for us. And yes, we continue to have a very strong outlook for this new plant. Likewise, for the Additive plant, if you look at the Additive plants, our halogen-free flame retardants, here, again, it is a unique solution. We have actually -- we are the only player in the market with a truly halogen-free product that meets all the specifications for properties, particularly on electrical wires for electric vehicles and electronics. So here, again, we are actually very confident that the plant will quickly run at full capacity and be sold out. Your third question, I think was related to Oil & Mining and our outlook on the recovery. What we see is actually, as Stephan mentioned, strong revenue recovery in Oil & Mining. It is fair to say that this is, from a margin point of view, not entirely attractive everywhere. We are seeing still some challenges around margins with our North America land business, and we are right now working with the team to also get some more structural solutions in place there to step up the margins also on that side of the business.
Jaideep Pandya : Thanks a lot and good luck, Stephan. We will definitely miss you. 
Stephan Lynen : Thank you, Jaideep
Operator: [Operator Instructions] The next question comes from the line of Andreas Heine with Stifel. Please go ahead.
Andreas Heine : Yeah, only smaller questions left. So on liquid, when you talk about ramp-up in the second half, how far can that be technically? Is it possible to ramp up these biotech plant to level, let's say, 80%-90% within the second half? Or does it take longer?  The second question is on Care Chemicals. The profitability has increased a lot. And while the consumer part has gained an importance. Still, I would assume that these more commodity part in this very tight market contributed very strongly to the profitability. Can you split a little bit what maybe only qualitative in law what -- how the dynamics in this industrial part were which might not be there forever?  And that's only -- last one is only a clarification. When you talk about better margin in Catalyst in the second half, that, that will be better than the first time is obvious, looking on the margins you provided for Q1. But will the margin in Catalyst also year-on-year up in the second half? These are questions. Thanks, these are all my questions. 
Conrad Keijzer : Yeah. Thank you, Andreas, for the questions. So a couple of things you were asking, first on ramp-up. You mentioned, I believe, a number of 80%-90% of design capacity as output in the first year, well, this is by a little bit of a crystal ball. But let me say that, that number would be very high. So keep in mind that we just started this up in the second quarter. We just are expecting our first delivery to shell, actually of commercial products. And let me also remind you that this is a new first of its kind technology. So if we would be running at an 80%-90% run rate by the end of the year that would actually exceed our own expectations. But we obviously need to ramp up towards design capacity, but that is more likely to happen actually next year. Yeah, your question on Care Chemicals with regard to the contributions in the first quarter from the various businesses and your question, how it's sort of -- what part came from consumer versus industrial? I will say that we saw very strong demand both in our consumer applications as well as in our industrial applications. And to your point about contributions from the more commodity businesses, we actually did have a very strong de-icing business, for example, for airplanes in the first quarter. So that definitely helped. But we also saw a strong sales into coatings, construction chemicals as well as lubricants. And I think on margins on Catalyst, we've said a few things already. So I don't think there's a lot to add. We expect an improvement, but, yes, give us a little bit of time to basically get there because we are dealing with some unprecedented circumstances right now.
Andreas Heine : Thanks for all the answers. 
Andreas Schwarzwaelder: So this is Andreas speaking. Ladies and gentlemen, as we have answered all the questions, this concludes today's Q&A session. And before closing the call, let me hand over to Conrad for a final remark.
Conrad Keijzer: Thank you, Andreas. Yeah, before we finish our Q1 conference call, I would like to end with the personal comments. This was the last set of results Stephan presented in his role as the Clariant CFO. And I would like to acknowledge, first of all, his decision to step down by the end of this month. And I also want to personally thank him and express my gratitude for his contributions during his time at Clariant, especially also, yeah, his strong commitment to conduct a swift investigation to help us resolve the accounting matter. I wish Stephan very well in his future endeavors. And on behalf of our team here, and I was very pleased with various comments made also by everybody on the call. So Stephan, on behalf of all of us, all the best, and thank you.
Stephan Lynen: Thank you, Conrad.
Andreas Schwarzwaelder: So ladies and gentlemen, this concludes today’s conference call. The Investor Relations team obviously remains available in for any further questions you may have. We look forward to continuing the dialogue latest at the disclosure of the second quarter half year results back on our corporate calendar on July 28. Once again, thank you for joining, and have a good afternoon. Bye-bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call. And thank you for participating in the conference. You may now disconnect your lines. Goodbye.